Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Third Quarter 2019 Deluxe Corporation Earnings Conference Call. At this time all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Ed Merritt, Treasurer and Vice President of Investor Relations. Please go ahead, sir.
Ed Merritt: Thank you, Catherine. And welcome everyone to Deluxe Corporation's third quarter 2019 earnings call. I'm Ed Merritt, Treasurer and Vice President of Investor Relations. And joining me on today's call is Barry McCarthy, our President and Chief Executive Officer; and Keith Bush, our Chief Financial Officer. At the end of today's prepared remarks, Barry, Keith and I will take questions. I would like to remind you that comments made regarding projections, financial estimates, and management's intentions or expectations regarding the company's future strategy and performance are forward-looking in nature, as defined in the Private Securities Litigation Reform Act of 1995. These comments are subject to risks and uncertainties which could cause actual results to differ materially from our projections. Additional information about factors that might cause actual results to differ from projections is contained in the press release issued this morning, as well as in the company's Form 10-K for the year end December 31, 2018, and other filings we make with the SEC. Portions of the financial and statistical information will be discussed during this call are addressed in more detail in today's press release which is posted on our Investor Relations website at deluxe.com. This information is also furnished to the SEC on Form 8-K filed by the company this afternoon. Any references to non-GAAP financial measures are reconciled to the comparable GAAP financial measures in the press release or as part of our presentation during this call. Now, I'll turn the call over to Barry.
Barry McCarthy: Thanks, Ed and good afternoon everyone. I'm pleased to be with you today to share our strong third quarter operating performance. We've met our revenue commitment and exceeded our adjusted diluted EPS outlook. And we are affirming our full-year revenue and adjusted EPS outlook range. We're executing well on our new strategy, reinvigorate the culture, driving equity ownership, implementing a modern technology infrastructure and signing new contracts at an unprecedented rate. This is the new Deluxe. Our new strategy of attractive world-class talent. We've already brought a new Chief Revenue Officer, Chief Human Resources Officer, Chief Business Development and Strategy Officer and the General Managers for what will become our cloud services and promotional products businesses. In addition to our new management team, we also welcome Cheryl Mayberry Mckissack as our new Board Chair. Cheryl is the first female and first African-American Board Chair in our 105-year history. Cheryl is a great partner, as we execute our transformation and succeeds Martyn Redgrave who remains on our Board after seven years of distinguished service as Chairman. Overall, we delivered a solid quarter and made tremendous progress driving our transformation forward. As you saw in our earnings release, we recorded a non-cash impairment in the quarter. Now I'll turn the call over to Keith to provide more color on our third quarter financial results.
Keith Bush: Thanks, Barry and good afternoon, everyone. Total revenue in the quarter was $494 million and within our outlook range, about flat year-over-year and we generated very strong operating cash flow. We will continue reporting our results in the current segment structure for the fourth quarter, and then expect to transition to our new segment reporting early next year. We're making solid progress and acting with urgency to transform our business into the four new focus areas of payments, cloud, promotional products and checks. Small Business Services revenue was $310.2 million, declining 1.7% year-over-year. Financial Services revenue was $154.6 million, growing 5.3% year-over-year. Direct Checks revenue was $28.8 million declining 6.5% year-over-year, about in line with our expectations. For the quarter, marketing solutions and other services or MOS revenue expanded to about 44% of total revenue. Checks accounted for about 39% of total revenue and forms and accessories accounted for 17% of total revenue. GAAP diluted loss per share for the third quarter was $7.49 below the low end of our outlook range as a result of the non-cash impairment charges, employee severance and facility closure costs, none of which were contemplated in the original outlook. Adjusted diluted EPS of $1.71 per share exceeded our outlook. In the third quarter of each year, we conduct an accounting assessment of the carrying value of our goodwill assets. We do this in addition to our quarterly review for triggering events. As a result of completing these reviews, we recorded non-cash asset impairment charges and goodwill and certain intangible assets totaling $391 million. In recording the charge, we consider recent softness in the performance of the web services and data driven marketing business units, the decision to exit certain contracted customer relationships and a sustained decline in the company's stock price as factors in this technical accounting calculation. The softness in performance is a result of historically running these business units in silos, where a lack of integration and under-investment in tools, sales and marketing resources have limited the achievement of aggressive business case assumptions. Our new strategy is focused on integration to become One Deluxe, enabling our sales team to generate revenue growth across the company not in silos. We see recent wins, like the Ingram Micro and the Vodaphone India web services deals previously announced as clear evidence our new strategy is working. We remain bullish about our future growth opportunities and are committed to deliver our 2023 growth plans. Barry will discuss these in greater detail in a few minutes. Now, turning back to the rest of our third quarter results. As I said a moment ago, adjusted diluted EPS was $1.71 per share, exceeding our outlook. We're proud that we delivered this performance while simultaneously driving our transformation. Last year, adjusted diluted EPS was $1.74 per share, a reconciliation from diluted EPS to adjusted diluted EPS is included in our earnings release. Reported EBITDA for the quarter was a loss of $308 million and includes $427.3 million of expense related to asset impairments, restructuring, integration and other costs as well as other non-GAAP adjustments. Excluding these amounts, adjusted EBITDA was $119.3 million compared to $128.5 million in the same period last year. Adjusted EBITDA declined about $9 million year-over-year. Year-over-year EBITDA compression resulted from revenue mix changes, price concessions on long-term contract renewals and customer churn. Other than softness seen in web services and data driven marketing that I discussed earlier. The compression we saw in the third quarter was expected and consistent with what we've seen throughout the year. We continue to deliver substantial adjusted EBITDA and free cash flow which allowed us to reinvest back into our business and self fund much of our ongoing transformation. We are setting the stage for accelerated revenue growth. At the same time we continue to return capital to shareholders through a regular dividend and common stock repurchases in the open market. Moving on to the balance sheet and the cash flow statement. At the end of the quarter, we were drawing $924 million on the credit facility, an increase of about $40 million from the beginning of the year, primarily due to additional common stock repurchases and planned transformation investment spend, partially offset by strong operating cash flow. Through the first nine months of the year, cash provided by operating activities was $208 million and capital expenditures were $50 million. Free cash flow defined as cash provided by operating activities, less capital expenditures was $158 million and declined by $18 million from the first nine months of last year. The primary driver of the decline in free cash flow was lower adjusted EBITDA, the cash payment of certain previously disclosed legal related costs and previously disclosed investments in our transformation, partially offset by lower tax payments. In the third quarter, we repurchased $39.7 million of common stock, bringing year-to-date share repurchases $118.5 million. At the end of the third quarter, we had $301 million of share buyback authorization remaining. While we don't provide a share repurchase outlook, we plan to opportunistically buy stock in the open market from time-to-time. Now, let's move on to our outlook. For the full year, we are affirming our previous outlook range. We expect revenue to be at the lower end of our previous outlook of $2.005 billion to $2.045 billion. We are also affirming our adjusted diluted EPS range for the year. We expect adjusted diluted EPS to be near the low end of $6.65 per share to $6.95 per share. In summary, we delivered a solid third quarter. We're on track with our transformation and the team is working with a common sense of urgency to drive revenue growth in our business. Now, I'll turn the call back to Barry.
Barry McCarthy: Thanks, Keith. As I said earlier, our team continues to make excellent progress on all fronts and is executing with a deep sense of urgency. This is the new Deluxe. As we've discussed on each of our previous calls, this year, our strategy is focused on profitable revenue growth in two key markets, payments and cloud. We will continue to invest cash flow from promotional products and check into these two high growth markets and plan to supplement our organic growth with strategically targeted acquisitions over time. We're confident this strategy will deliver sustainable mid single-digit organic revenue growth and adjusted EBITDA margins in the low to mid 20s in 2023. We also continue to expect our strategy to yield $300 million of net new revenue or total reported revenue of about $2.3 billion in 2023. Just to be clear, these strong growth numbers are net of the expected secular declines in checks over the next few years. Just as a refresher, our incredible assets of scale include nearly 5 million small business customers. 4.5 million hosted small business websites and a 4,600 financial institution customers. Our reputation as a trusted partner is unparalleled and our customers are very pleased with the quality of our services. I regularly hear our customers express our high interest in doing more business with us. But they frequently don't know all that Deluxe has to offer or the many ways in which we can help them succeed. To address this, we're changing our go-to-market strategy and instead of being a company of companies operating dozens of silos, the result of over 50 partially integrated acquisitions, we're becoming a company of product solution. Instead of each product being an independent silo having a separate sales team visiting the customer, we're moving to a single sales and relationship management model to represent the breadth of our offerings. Therefore, it enables us to build deep customer intimacy across the breadth of our offerings. Of course, we'll have sales specialists to support these relationship leaders with specific subject matter expertise. We will be one company in our customers' office or on the phone. We call this approach One Deluxe. To drive market focus on product specific customer needs, we're moving the company away for managing and reporting by customer type, small business, financial services and Direct to Consumer. Instead, we will manage four primary product areas, payments, cloud, promotional products and checks. The new structure will be easier for customers, investors and our employee owners to understand. It provides for much better comparison to similar businesses, enabling a proper settled parts valuation and with internally focused management attention on delivering market-leading product solution. The first growth area is payments, above $5 billion market growing at 10% to 15% annually. Our payments business can be categorized into three subgroups. The first group is treasury management solutions. In this area, we're seeing tremendous success winning new business. During the quarter we won more than a dozen new contracts across many different industries including financial institutions, insurance companies, public utilities and even large charities. Our teams have brought together the best of Deluxe treasury management to create receivables management solutions for these businesses. Our pipeline of opportunities continues to expand. The second area is payroll for small and mid-sized business. In the past, we did look to financial institutions as white label distribution partners for payroll. In the third quarter, we signed two community banks as resellers and we haven't even officially launched a product yet. While still early, we're definitely encouraged here. The third payments area is focused on helping businesses pay and get paid. The space includes our e-check solution. We announced last week that a light solutions of third-party payroll provider will use Deluxe e-check as an additional payment solution. Additionally, we hope to announce soon an exciting relationship we force in the electronic medical payment space as well as moves in the small business and B2B payment spaces. I'm pleased to announce, we've identified a transformative and dynamic payments leader who we expect will join our team in the coming weeks. This is the last open role within our new senior management team and we will provide details on this in the coming week. The next growth area cloud based solutions is a multi-billion dollar market growing at double digits annually. As Keith explained, we booked a non-cash impairment at some of these existing businesses, but we remain optimistic about our growth prospects for us in this overall market space. Our current cloud business fits into three subgroups, first, software as a service or SaaS solutions, which encompasses corporation services, loyalty offerings, logo design profitability tools and bank account switching and utilization solution. Second cloud-based web design and website hosting. We see future opportunities to expand from our base for growth through new reseller relationships rolling our customer list and consolidating other smaller competitors. Third, cloud delivered data analytics, which include offerings from FMCG and Datamyx. FMCG recently signed a leading West Coast bank to utilize our data driven marketing solution and we're in discussions with others to become new clients. As we announced on October 1, Garry Capers joined Deluxe as the General Manager of [indiscernible] our cloud business. Garry is a proven senior executive, with previous experience at ADP, Equifax and Bain and Company, where he led software and data edge services businesses growing revenue, profitability while improving client satisfaction. Our third area, promotional products includes prints, retail packaging, banners, business forms and other promotional products designed to help customers manage and promote their brands. We're optimistic about our growth prospects here and achieved early cross-sell success with these solutions.  On October 1st, we announced that Tom Riccio joined Deluxe as General Manager of our promotional products area. Tom joins us from Office Depot where he held various senior executive roles over the last 10 years. Most recently he led the $1.7 billion Business Solutions division. Tom's expertise in business solutions is a great fit for our promotional products area, and we're excited to add a fantastic operational and sales focus to our team to drive -- to drive growth here. The fourth area is checks. Tracey Engelhardt company that from some of you may already know, is our General Manager for Checks. We were recently awarded a contract with a major bank to print and deliver checks for their customers. This is an important win and another proof point of the One Deluxe approach. This is a material take away from a competitor and an absolutely clear validation of our product and service superiority. While checks is not a primary growth area for us, we continue to offer -- explore opportunities like this, where we can gain share leveraging our existing infrastructure. Our checks business generate strong margins and cash flow and under Tracey leadership, we believe we can maintain healthy profitability and opportunistically capture even more market share.  Recapping our new strategy. Payments and cloud are multibillion dollar markets with great growth potential and we're aiming for nice growth in promotional products. We have a strong leadership position in checks and we plan to invest cash flow from this business into payments and cloud. On our last call, we provided updates on several new day technology initiatives. The most important point here. These initiatives continue to be on track and on budget. Here are few highlights, our implementation award they continues to be on track and we expect it to be operational by January 1 of 2020. And we have selected S4/HANA as our enterprise resource planning tool and IBM as our implementation partner. We recognized the complexity of installing a new ERP system. We are being cautious and responsible with this longer term implementation to reduce risk. But we continue to move with urgency. We will provide updates as the project progresses. Now, let me give you an update on the four areas of intense focus we previously discussed, namely sales, product and innovation, efficiency and culture. First sales, Chris Thomas is our new Chief Revenue Officer. He comes to us with an impressive track record of sales transformation at HP, DXC and more. Chris is the first company-wide sales leaderwe have had in over a decade. I will say it again, to highlight our opportunity. It has been over a decade that we have had a company-wide sales leader. In a short time with us, Chris has helped close many of the wimpI identified earlier. Chris also driving fundamental transformation in our corporate culture to become a sales-driven organization. Nearly immediately upon arrival, Chris launched a program we call everyone sells. We used our new Salesforce tools to quickly build an internal site to collect leads and product ideas from our 6500 employee owners. We received dozens of leads and ideas within the first hours after launch. Our fellow directors watch out the company grow, they just didn't know how. All of this is changing under Chris' sales leadership. He is clearly the right guy at the right time. During our last earnings call, we announced that we selected sales force as our enterprise CRM platform. We continue to look for ways to forge a broader alliance with them, and I'll be speaking at their annual Salesforce, Dreamforce event in San Francisco next month. Additionally, on October 8th, we launched Season 4 of our small business makeover show, Small Business Revolution. In the few weeks since launch, we've already experienced more than 400,000 views by the hard to reach small business owner target market. The Small Business revolution will also be featured at the Salesforce Dreamforce event highlighting our unparalleled expertise and reach in the small business market. My last comment on sales related to our call centers where we have good news. We continue to see nice progress at our inbound call center which involve new training, refined selling skills, modified incentives and promotions to drive cross-sell and organic revenue growth. Early results have been very promising, showing a material increase both in items sold per order and an increase in total order value clearly validating our cross-selling thesis. Additionally, employee satisfaction is up driving lower employee attrition rate. This is another proof point, it gives us confidence in our new One Deluxe go-to-market strategy. The second focus area is product and innovation. For the first time in memory, we have a single leader for product development who has consolidated the disparate and silo development teams into one team. This gives us visibility and more importantly fungibility of our critical development assets. This is clearly part of our strategy, easily and efficiently flowing resources to our best opportunities. Moving to the third focus area efficiency. On October 1st, we set the foundation for organizational restructuring designed to move us closer to our new segment operating structure. We reduced management layers from seven to four creating a nimble reporting, an operating structure and providing for clear accountability and faster decision-making with more transparency. We also announced the closure of nine additional real estate locations during the quarter, allowing us to eliminate inefficient spending to redeploy resources into our growth areas. The fourth focus area is culture. Cultural change starts by aligning everyone to the same goal. As you know, we made every North American employee a shareholder of the company on April 1. This has clearly aligned shareholders and our employees on the same goal of stock appreciation. The depth of questions and new perspectives, this has brought to our company has been inspiring. We've updated our core values and shared them with the entire organization. We're positioning the organization to operate in the new segments and new reporting structure for 2020. As Keith mentioned, you can expect to see our performance reported in these new segments next year. Today, we've given you the highlights of the changes under way and the momentum we're building. We continue to deliver the financial results we committed to earlier in the year and aspire to do even better in the future. We're operating with an extreme sense of urgency, but are executing at a thoughtful and responsible pace to transform the company to deliver organic growth. We are still in the planning stage of our Investor Day, which we intend to hold in Manhattan in mid-February 2020. Well send out more information on the event soon and look forward to showcasing our new strategy in detail and allowing you to meet the new senior leadership team. In closing, I'm very pleased with the progress we've made during the quarter and in my first 11 months here executing on our transformation. While we still have quite a bit of work ahead of us and we won't get it all done overnight, the team is proud of their accomplishments. And in such a short time an energized, aligned and focused and delivering organic revenue growth in 2020 and beyond. Now, Keith, Ed and I will open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Charlie Strauzer with CJS. Your line is open.
Charlie Strauzer: Just a couple of housekeeping questions for Keith to start off. Keith, if you wouldn't mind sharing the organic growth numbers on small business and financial services.
Keith Bush: Sure. So, organic growth for the company in the quarter was the sell out about 3%, that's about 100 basis points better than where we were in the third quarter of last year.
Charlie Strauzer: And then you have it by segment as well?
Keith Bush: Yes, we're going to have to come back to you on that one.
Charlie Strauzer: And then talking about in your remarks, about the M&A and things like that in terms of being the part of the strategy, you were kind of past the moratorium. I think it was about six months or so. And, but yes, we haven't seen any deals. What's kind of your appetite now versus where when it first came on board?
Keith Bush: So Charlie, first of all, I think it's important to understand. We've made so much progress on the integration. Here are getting the previous acquisitions aligned, getting the sales organization stood up having a product development team in place. We've made a kind of progress, which is what we set out to go by not making acquisitions like we said in the first half of the year or even in the third quarter, the first three quarters of the year. Acquisitions will still be an important part of our go-forward strategy. So we still believe we have so much opportunity with the products that we have in-house that we're going to continue developing and pushing that in the marketplace to sell -- to cross sell more to our existing customers. You know this program we're working on the call center is very encouraging. What we're seeing with our new sales organization very, very encouraging. But that doesn't mean we won't the refi in our right assets that will be complementary to what our business and that we wouldn't act. But we don't feel any rush. We don't feel any pressure. When we are ready and we find the right asset, we will make a move.
Charlie Strauzer: And then just switching gears to the impairment charges in the quarter. Maybe get a little more color as to where the predominant part of those charges were taken from?
Keith Bush: The asset impairment charges you are referring to?
Charlie Strauzer: Yes.
Keith Bush: So in the quarter, we took impairment charges in goodwill primarily as $242 million of impairment in the web services business and a $115 million in data driven marketing.
Charlie Strauzer: And is that related to any shutdowns of the businesses or just a read…
Barry McCarthy: Thank you for that question. We continue to operate businesses and we have millions of customers through these businesses and great customer lists. Over time we think, we still have great growth potential. And honestly one of these places, we had material wins to Ingram Micro deal and the Vodaphone India deal really are validation that the solutions we have value. The only thing we've really impaired here are intangibles and goodwill.
Charlie Strauzer: Excellent, that's great color. I'll jump back in queue. Thank you.
Operator: Thank you. And our next question comes from Jamie Clement with Buckingham. Your line is open.
Jamie Clement: I think you mentioned that you're shooting for organic revenue growth next year. As you look at the product lines by let's -- and obviously you sound optimistic on promotional products. But as we look at components of MOS, where you think you can see acceleration faster. What would those product lines be? And then for the ones that may take a little longer, what are the actions that you feel the company still needs to take to get that done?
Barry McCarthy: So let me first remind everyone here that we still operate the company today in three business units, which are small business, financial Services and direct checks. Where we're going in the New Year, we'll operate in four segments which are payments, cloud, promotional products and checks. And Jamie we are most optimistic about our growth prospects in payments and cloud-based services an immediate horizon, especially excited about what's going on at payments. So I mentioned a minute ago that we had 12 wins in our treasury management business, which is -- we think is clear validation that our product and service offering is best in class because we're winning, simply we're winning market share in the marketplace. So we are very optimistic about that. I also mentioned our payroll business for small businesses. The company had never really considered using partners as distribution channels, specifically banks. And Jamie before we even launched the product, we had two businesses signed up and are already selling and referring our customer, setting at customers. And we're looking at a number of other places in the payment space B2B payments and payments for small businesses that perhaps by the next time we're together.
, :
Jamie Clement: Do you feel -- I know you're not guiding for next year or anything like that, but just kind of big picture on. Do you feel that there need to now that you've been with the company approaching New Year? Do there have to be any big changes to the company's cost structure to be able to accelerate revenue growth or are you, do you feel obviously you need to make some tweaks here and there. And obviously, you've done a lot of work. But do you, are there any surprises on horizon, basically wanted to get that.
Barry McCarthy: And I've been talking, as long as I've done here about the notion of efficiency. And how I believe the company has been operationally efficient. So that volume change up or down, we've been very responsive and able to manage sort of operational efficiency that way. But we do believe and I continue to see structural efficiency savings here and opportunities. And so for example, in the quarter, we began moving towards the new structure we eliminated. We went through seven management layers to four and that led to reduction in headcount at management level. We're taking the money and the savings from that and putting that right back into our business. We have a real estate footprint that I had mentioned before disproportionate to our employee footprint.  And we think we have significant opportunity there to streamline our real estate footprint and make the company, and take those dollars and reinvest into our core business. So as I look across the business, the all thanks we're doing at technology are going to yield structural savings. So I think the way I think about it is that we have a structural opportunities to improve, how the company is structured. And we're taking those on, and I think I have been pretty transparent about the places we're working on. I feel great about the progress, I have already told you, we're on track and on budget and all the things we're doing on technology. And I guess the point I would make here is some of these things take time to actually deliver the outcome. But we have a very specific plan and on every measure and every proof point that we regard of ourselves, we are in every stage, we are on or ahead of plan.
Jamie Clement: So at the risk of putting words in your mouth, you think you could largely self-fund us?
Barry McCarthy: [Indiscernible] Keith said it, Keith has used those words.
Jamie Clement: Okay. Because, Barry, I think with transformation stories oftentimes there is a, at some point in time in the kind of the early to mid early innings, company say we're going to have to invest a whole bunch more in that kind of thing. And you see this like stepped down in the profitability of the enterprise. But it sounds like we don't have to worry about that.
Barry McCarthy: Jamie, I was really clear like I think on my first call that we were going to invest in our infrastructure and we've been doing that. And we're on path and on budget and on track. I said what we were going to do and we're doing what I said.
Jamie Clement: And Barry last thing, the forms and accessories number for the quarter, down less than $1 million. I mean that's terrific. What do you, -- what would you point to there. Because I mean, I think that's outperforming the market significantly.
Barry McCarthy: You know what I think that we are seeing it. Like there like across all of our businesses with more invigorated management and focus on sales and providing the next solution to the customer and out in our call center doing need based selling. We are seeing an opportunity to sell more products. I was describing that in the section about our call center performance where we're seeing increase in the number of products per order and an increase in total revenue. So the whole basis we've had and we've been talking about as long as of that year, which is that we did have the huge opportunity to sell more to our existing customers that we're talking to all the path and we're starting to see early fruits of that. And forms, accessories, promotional products are some of the easiest things for us to sell quickly on a call and we're optimistic. That's why I said earlier, I'm optimistic about our commercial products.
Jamie Clement: And the new check customer that you referenced. I mean did you already -- did you start seeing revenue during the quarter or is that to come?
Barry McCarthy: No, it will come in from next year.
Jamie Clement: Okay. Okay, thank you very much for your time guys. I appreciate it.
Barry McCarthy: I just want to reinforce why that is so important. It's a material bank and as a takeaway that is a clear validation that our product, our service and the quality of our company gives us a competitive advantage. And so while check is our growth business, we just think it's another example of being able to sell ourselves and tell our story in a new and compelling way to have us getting us win that we wouldn't have experienced before.
Operator: Thank you [Operator Instructions]. Our next question comes from Chris McGinnis with Sidoti and Company. Your line is open.
Chris McGinnis: I apologize if you did mention this I was having some issues getting on. But can you talk a little bit about the integration of the board with the prior acquisitions. I know you mentioned it just before Q&A section. Well just update where we are at, are we fully completed with the prior integration pieces and bringing everyone I think in the same kind of platform.
Barry McCarthy: So we call this whole program One Deluxe, which means that we want to present ourselves as one company in the customers' office around the phone. And so we want to be able to present the entirety of our suite of solutions to our customers. So previously for all the different acquisitions we had. We would have different salespeople, sometimes even showing up on the same day. So I'd see the same customer about different product solutions. And we think that there is a much bigger opportunity for the company. But holding those things together, so we can have a single person in the customers' office talking about the range of solutions and how Deluxe could help that business grow. Instead of going into trying to sell a point solution, we could now go in and say, explain to us your challenges and problems and then we can match a solution to help them fix that problem. And the early proofs are really encouraging here. We have Chris Thomas here who said his career in this type of a model and we're getting -- we're seeing fresh fruits. You saw us win a number of -- more a dozen new contracts in the Treasury business. And we are having all these wins come our way and improvements in our call center. And we have a number of other wins that having a different approach to our customer s and going to them and talking to them about how Deluxe could help them grow their business gives and leads to a very different outcome. So all of that we see as this incredible validation and proof that we are on the right path towards organic revenue growth. And all of this we call One Deluxe. 
Chris McGinnis: And it sounds like the early indication is that cross-selling opportunity is finally coming to fruition to the company. You referenced this with Jamie but also kind of just those comments as well -- starting to get that. That opportunity is really becoming apparent now?
Barry McCarthy: I will tell you, I have been on the phone on a person that was CEO that some of our largest customers. And the universal message I hear from them is while we have a very long-standing relationship with your customers. You're one of the very few cost companies that we trust with personal identifiable information PII. And that puts you in a very unique position with us because you are a trusted partner. And we buy more from you if we just knew that you did more. And that is likely up and it gives me an opportunity to sell that. When you so appreciate your business in one area though we have so many other things that we do that can help your company operate your bank, your business more efficiently. Everything from promotional products to marketing solutions to website hosting, the payment solutions and all of a sudden we are engaged it a radically different conversation at the top of the house, Because we're simply telling our story as one company, rather than talking about the check company or the web hosting company or the data driven marketing company or the payments business. We are in talking about how our company to create value for their company. It's a fundamentally different approach. And we're really excited about these first wins we're seeing and really to feel the momentum.
Operator: Thank you. And we have a follow-up from Charlie Strauzer with CJS. Your line is open. 
Charlie Strauzer: Just a couple of more, just picking up on the new customer wins. Barry, if you could expand more on a, is it a national banking customer and b, sometimes you see these things where you have a big customer win, but it is also a customer loss on the other side, were there any competitive losses in the quarter?
Barry McCarthy: So let me take the first part of that. I can't give you any more description on who that is because I can't -- I owe that duty of trust to the customer. But I will leave it with you as a very major financial institution. Then if I told you their name you would recognize it. And we have not had any material losses in the third quarter.
Charlie Strauzer: And then looking at organic growth, I know I'd asked you about the segments before but maybe if you can talk about by MOSwas there. It looks like about 3% growth is that all organic in the quarter? And also if you have any…
Barry McCarthy: Yes, Charlie can I just go back -- I just want to make sure I'm absolutely precise. I think you were asking me about the checks business right, about losses in checks.Because what I said is absolutely correct. Obviously, as a result of some of the charges, we had some loss in other businesses, but not in checks. So let's go back to the next question.
Charlie Strauzer: Just looking more on an organic basis, MOS grew, I think about 3%. Was that all organic in the quarter?
Barry McCarthy: Most of that -- almost all of it is because recall, we haven't bought anything, right. The last recognition we made was a very small My Corporation transaction that we made at the very end of last year, but we are, we were pleased with. We're pleased with our results.
Charlie Strauzer: So is it safe to say that the segment organic growth numbers are similar to what was reported as well?
Keith Bush: So let me address that for you. This is Keith. So Small Business Services saw a contraction of 3.2% organic, financial Services contraction of 1.8% organic and the Direct Checks is all organic. So that gives you your overall decline of the 3% that we referenced earlier.
Charlie Strauzer: And then just lastly, when you look overall at the progress you're making here, especially when you're talking about getting to maybe potentially getting to growth next year with MOS, any kind of low single digits growth right now. Are you expecting that part of the business to ramp more significantly over the next few quarters?
Barry McCarthy: We were not in a position to give you forecasting and\/or guidance on future quarters. But I hope you'd hear our optimism about our payments business opportunities in the future and cloud and even promotional products. And coming New Year, we will be moving towards that segmentation, you have much more insight into those businesses and we are very excited about that and think that that's going to be, I think you will be able to pay a lot more because we're going to have an Analyst Day somewhere in the middle of February. And at that Analyst Day we will be able to give you guys lot of details about the incredible progress that we're making, the customer wins, the incredible power, honestly that we're able to attract to the strategy that want to be part of the very historic transformation. And we can give you a lot of detail then and give you a lot of visibility into the future and how each one of these businesses, we expect to expand.
Charlie Strauzer: Just one less housekeeping for Keith, if I could on the margins on direct checks were a little bit better than what we forecasted and what you've seen recently. What kind of drove that?
Keith Bush: It's really just normal, just normal variation that we see within a quarter.
Operator: Thank you. And I'm showing no further questions in the queue. I'd like to turn it back to Mr. Barry McCarthy for any closing remarks.
Barry McCarthy: Well, thank you everyone for participating on the call and for your questions. In summary, first, our momentum continues to build. I shared many examples of client wins and cross selling successes, utilizing our new go-to-market strategy that will begin to bear greater fruit in 2020. Second, our strategy focus is on payments, cloud, and promotional products and checks. We continue to gain traction in these markets. Third, from a technology perspective, we continue to be on track and on budget rolling out our new enablement technologies. Fourth, our senior leadership team is all the support staff and we expect to announce the last role, the GM of payments soon. I am honored to have these extraordinary and accomplished executives join me in leading this historic transformation. Fifth and finally, we again delivered on our financial outlook and affirmed our outlook for the year. We're executing with urgency, but in a thoughtful and responsible pace to unlock the incredible growth potential here. In closing, I want to thank our employee owners for their commitments and enthusiasm, passion and can do spirit. I've asked them to think differently, act differently because increasingly customer and sales-focused, all while reorganizing the company and delivering solid results. Certainly, there is much more to do. But I'm very proud of how we've come together as one team to build one company, One Deluxe. It really is a new day and a new Deluxe. Now, I'll turn the call back to Ed for some final comments.
Ed Merritt: Thanks, Barry. Before we conclude today's call, I just like to mention the following events in the third quarter. As Barry previously mentioned, on November 20th, he'll be presenting at the Salesforce Dreamforce event in San Francisco. On December 3rd and 4th we will be at the Wells Fargo TMT Conference in Las Vegas. We'll be meeting with investors at various locations across the country in the first two weeks of December, where you can hear more from us regarding our ongoing transformation. We plan to be in New York on January 14th at the 22nd Annual Needham & Company Growth Conference. And finally, we plan to send our save the date note shortly regarding our mid February 2020 Analyst day, which we intend to hold that in Manhattan. At the event, you'll have an opportunity to meet our new leadership team and gain a deeper understanding of the New Deluxe. Thanks for joining us. And that concludes the Deluxe third quarter 2019 earnings call.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for participating you may now all disconnect. Have a wonderful day.